Operator: Good morning, and thank you for joining us today for Hovnanian Enterprises Fiscal 2013 First Quarter Earnings Conference Call. An archive of this webcast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast. [Operator Instructions] Management will make some opening remarks about the first quarter results and then open the line for questions. The company will also be webcasting a slide presentation, along with the opening comments from management. The slides are available on the investors page of the company's website at www.khov.com. Those listeners who would like to follow along should log on to the website at this time. Before we begin, I would like to turn the call over to Jeff O'Keefe, Vice President, Investor Relations. Jeff, please go ahead.
Jeffrey T. O'Keefe: Thank you very much. I'm going to read through our forward-looking statements very quickly. All statements during this conference that are not historical fact should be considered as forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Although we believe that our plans, intentions and expectations reflected in or suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions or expectations will be achieved. Such risks, uncertainties and other factors include, but are not limited to, changes in general and local economic and industry and business conditions and impacts of the sustained homebuilding downturn; adverse weather and other environmental conditions and natural disasters; changes in market conditions and seasonality of the company's business; changes in home prices and sales activities in the markets where the company builds homes; government regulation, including regulations concerning development of land, the homebuilding, sales and customer financing processes; tax laws and the environment; fluctuations in interest rates and the availability of mortgage financing; shortages in and price fluctuations of raw materials and labor; the availability and cost of suitable land and improved lots; levels of competition; availability of financing to the company; utility shortages and outages or rate fluctuations; levels of indebtedness and restrictions on the company's operations and activities imposed by agreements governing the company's outstanding indebtedness; the company's sources of liquidity; changes in credit ratings; availability of net operating loss carryforwards; operations through joint ventures with third parties; product liability litigation, warranty claims and claims by mortgage investors; successful identification and integration of acquisition; significant influence of the company's controlling stockholders; changes in tax laws affecting the after-tax cost of owning a home; geopolitical risks, terrorist acts and other acts of war; and other factors described in detail on the company's annual report on Form 10-K for the year ended October 31, 2012. Except as otherwise required by applicable securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances or any other reason. Now I'd like to turn the call over to Ara Hovnanian, our Chairman, President and Chief Executive Officer.
Ara K. Hovnanian: Thanks, Jeff and thank you all for participating in this morning's call to review the results of our first quarter ended January 2013. Joining me today from the company are Larry Sorsby, Executive Vice President and CFO; Brad O'Connor, Vice President, Chief Accounting Officer and Corporate Controller; David Valiaveedan, Vice President of Finance and Treasurer and Jeff O'Keefe, Vice President of Investor Relations. Starting on the top left-hand corner of Slide 3, we show that our new order trends have continued the robust growth that we experienced last year with net contract dollars, including unconsolidated joint ventures, posting year-over-year increases of 42%. Moving across the top of the slide, our net contract increased 25% on a unit basis despite a slight drop in our active selling communities. That resulted in a 43% increase in net contracts per community, which we shown in the lower left-hand corner. The dollar value of our backlog increased by 40% during the first quarter to $812 million. Continuing with our first quarter performance, please turn to Slide 4. Here, we showed our total revenues increased 33%, which is shown on the top left-hand quadrant. On the upper right-hand side, you see that our gross margin expanded 50 basis points year-over-year during the first quarter. While we'll discuss this in more detail momentarily, I'm pleased to say we expect continued growth in gross margins in the later quarters of this year. As you can see in the lower left-hand quadrant, the increases in our total revenues allowed us to leverage our fixed costs. As such, both SG&A as a percentage of sales and total interest as a percentage of sales were significantly lower during the first quarter of 2013 compared to last year's first quarter. Finally, in the lower right-hand corner, loss before debt and land-related charges was $20 million in the first quarter of '13 compared to $34 million in the first quarter of last year. Turning to Slide 5, given the size and gross margin of our contract backlog and assuming market conditions and our current sales pace remains steady, we are pleased to report that and project our return to profitability through the full fiscal '13. We expect our deliveries, revenues and gross margins to increase in fiscal '13 compared to fiscal '12 with the greatest improvements in these metrics to occur during the second half of the year. In addition, we're optimistic that the recent increases in the pace of net contracts we've reported will continue and could lead to the best spring selling season in years. On Slide 6, I give a more granular view of our recent sales trends. Here we show the dollar amount of net contracts for each of the recent 4 months in blue, the same month 1 year ago in yellow and the same month 2 years ago in gray. Needless to say, the growth in sales is significant. As a matter of fact, every single month in fiscal '13 is virtually double what it was 2 years ago. If you look at net contracts per active selling community, as we do on Slide 7, you can see the improvements in each month. This slide shows the monthly net contracts per community with the most recent 12-month period in blue and the same month 1 year before in yellow. We sold more homes per community in each of the prior 12 months than we did the year before. In fact, the 3.3 net contracts per community we reported for February of '13 was the highest net contracts per community for a single month since September of '07 when we had our Deal of the Century sales promotion. This time, we raised prices. Slide 8 shows the annual net contracts per community for the last 15 years through a variety of cycles. While the seasonally adjusted number for 2013, shown in blue, is a significant improvement at about 34 net contracts per community or a 21% increase over the prior year and a 59% increase over 2011, there's still a substantial amount of upside opportunity before we return to the more normalized level in the mid-40s per community that you see earlier in the slide. Slide 9 shows that we have the fifth highest net contracts per community for the prior 12 months when compared to our peers. Furthermore, our average sales prices have increased more than most of our peers. Our average net contract price increased 18% in our first quarter, better than all but one of our peers, and was 50% higher than the average increase our peers reported for their most recent quarter. This is a result of mix and home price increase. Slide 10 shows our active selling community count. On this slide, we show consolidated newly-identified communities in blue, consolidated legacy communities in yellow and joint venture communities in gray. After having grown our community count in fiscal '11, our sales pace per community grew so significantly during fiscal '12 that we sold out of communities faster than we had anticipated. This resulted in a drop in our community count in fiscal '12. However, we've begun to reverse that trend in the first quarter of '13 as the land acquisition teams were very busy during fiscal '12 and that had a positive impact on our ability to open new communities during our first quarter. We ended the January '13 quarter with 193 active selling communities, slightly ahead of the 189 active selling communities we had at the end of last quarter. Since we ended the quarter with cash above the high end of our cash target range, we have the liquidity to increase our land acquisition pace even further going forward. We will continue to pursue active land parcels in all of our markets. Slide 11 shows our quarterly deliveries in blue and the net additions of our newly acquired land in yellow for each of the past 3 quarters. Over this period of time, our net additions have been in excess of our deliveries and thus, we have grown our total lots controlled position by about 900 lots. Our land committee calendar to review and approve new land parcels continues to be very busy. However, we remain disciplined when we underwrite our land. We are still able to find land that generates unlevered IRRs that meet or exceed our underwriting guidelines based on the current home prices and sales pace. On Slide 12, we show the homebuilding gross margin percentage for fiscal '11 in gray, for each quarter of '12 in yellow and the first quarter of '13 in blue. The first quarter of '13, our gross margin increased 50 basis points when compared to the first quarter of '12. As you can see for the past 4 quarters, our gross margin has improved on a year-over-year basis. Given the gross margins in our backlog, combined with current home prices and construction costs, we expect our gross margin to increase further during fiscal 2013 with gross margins for the full year surpassing fiscal '12. Moving on to our operating leverage on Slide 13, we showed total SG&A as a percentage of sales; once again, 2011 is in gray, each quarter of 2012 is in yellow and the first quarter of 2013 is in blue. Below each of these bars, we show the absolute dollar of our total SG&A for each quarter. As seen on this slide, SG&A as a percentage of revenues has declined each of the past 4 quarters on a year-over-year basis. During the first quarter of fiscal '13, we held our total SG&A dollars steady at $49 million compared to the fourth quarter of fiscal '12. Our ability to grow revenues without proportional increases in SG&A expenses continues to provide us with operating leverage. Total SG&A as a percentage of total revenues improved from 17.1% in fiscal '12's first quarter to 13.8% in our recent first quarter. Our plan is to hold the dollar amount of our SG&A expenses relatively steady through the remainder of 2013. As our revenues continue to grow throughout the year, we would expect further improvements in our SG&A ratio each quarter and favorable year-over-year comparisons. On a historical basis, our normalized SG&A ratio is approximately 10% of revenues. Now I'll turn it over to Larry who will discuss our inventory, liquidity and mortgage operations, as well as a few other topics.
J. Larry Sorsby: Thanks, Ara. We continue to look for new land deals in all of our markets. The left-hand side of Slide 14 shows that we have controlled 23,500 lots since January of 2009, including 1,600 new lots during the first quarter of 2013. The upper right-hand side of this slide shows that total gross additions during the first quarter were 1,800 lots. We also walked away from about 200 newly-identified lots. In recent quarters, walkaways typically occur during the initial due diligence period and our deposit is refunded. The net result for the first quarter was that our total lots purchased or controlled since January 2009 increased about 1,600 lots sequentially from the fourth quarter of 2012. For the third quarter in a row, we're replenishing our land faster than we are using it. Our consolidated owned and optioned lot position increased sequentially by 355 lots during the first quarter. Turning now to Slide 15, you'll see our owned and optioned land position broken out by our publicly reported segments. Based on our trailing 12-month deliveries, we own 3.5 years worth of land. However, if you exclude the 6,813 mothballed lots, we only own 2.1 years of land based on the delivery rate of the past 4 quarters. Having said that, we are more optimistic that the improving new home demand and pricing trends in our markets will translate to mothballed lots coming out of the storage room sooner than most people thought 1 year ago. At the end of the first quarter, 78% of our optioned lots are newly-identified lots. Excluding mothballed lots, 67% of our total lots are newly-identified lots. Our investment in land option deposits was $49.4 million at January 31, 2013, with $47.9 million in cash deposits and the other $1.5 million of deposits being held by letters of credit. Additionally, we have another $6.9 million invested in pre-development expenses. Turning now to Slide 16, we show our mothballed lots broken out by geographic segment. In total, we have 6,813 mothballed lots within 52 communities that were mothballed as of January 31, 2013. The book value at the end of the first quarter for these remaining mothballed lots was $124.2 million, net of an impairment balance of $465.9 million. We are carrying these mothballed lots at 21% of their original value. Since 2009, we've unmothballed approximately 3,400 lots within 60 communities. We do expect to unmothball additional communities as we move forward. One of the reasons we say that is because we have been able to raise prices in more than 65% of our communities during our first quarter. In particular, we were able to raise prices significantly in some of our Northern California communities during the past 13 weeks. Northern California is an area where we have a significant number of mothballed lots. Turning to Slide 17, it shows what happened to prices in our 8 communities in Northern California in just the past 13 weeks. We have been able to raise prices between 2.5% and 11.3% over that 13-week period. Northern California has been a white hot market lately, but this gives you an idea of how much our decision to raise prices is truly made on a community-by-community basis, even within a rather small geographic area. These price increases are not indicative of what's going on in every market. In a market like Phoenix, Arizona, we've been able to raise prices at a similar pace to Northern California; but in places like New Jersey, our ability to raise prices has been much more modest. Looking at all of our consolidated communities in the aggregate, including mothballed communities, we have an inventory book value of about $1 billion, net of $668 million of impairments, which we recorded on 96 of our communities. Of the properties that have been impaired, we're carrying them at 22% of their pre-impaired values. Turning now to Slide 18, where we show the breakout for the components of our gross margin for both the first quarter of 2013 and the fourth quarter of fiscal 2012. Keep in mind that we made the following statement about some choppiness in our gross margin in both our 2012 third quarter and 2012 fourth quarter conference calls. "While we don't expect the sequential increase trajectory that we've seen for the past 5 or 6 quarters to continue quite so steadily going forward, we do expect the gross margin to gradually improve and get back to the 20% to 21% range." We believe that this slight sequential decline in homebuilding gross margin percentage for our first quarter is only a temporary setback and is related to the choppiness we mentioned on the 2 previous calls and the lower deliveries that are typical of our first quarter. The largest driver of the sequential decline in gross margin from the fourth quarter to the first quarter is indirect overheads, primarily, construction overheads, warranty costs and property taxes, which are included in cost of sales. A significant portion of these indirect overheads are fixed period costs impacted by the number of active communities. Historically, our first quarter is the lowest delivery quarter for the year. Therefore, these fixed costs related to indirect overheads are spread over the lower number of deliveries in the first quarter, and result in our gross margin being adversely impacted purely due to delivery volume. While our home building revenues increased significantly year-over-year, sequentially, revenues in our seasonally low first quarter declined 28.8% compared to the first -- to the fourth quarter of fiscal 2012. This caused our indirect overheads, as a percentage of homebuilding revenues, to increase to 6.9% in the first quarter from 5.2% in the fourth quarter, and this is the primary reason for the sequential decline in our gross margin percentage during the first quarter. In fact, direct margin, which includes all of the homes' specific costs, such as land, development, construction material and labor, commissions and financing concessions increased sequentially from 23.5% in the fourth quarter to 23.9% in the first quarter. As our deliveries and homebuilding revenues grow throughout the remainder of fiscal 2013, indirect overheads as a percentage of homebuilding revenues should come down and we expect to see our gross margin increase for our full 2013 year compared to the full gross margin for 2012. We have experienced cost pressures on both labor and material through the first quarter of fiscal 2013. However, on a consolidated basis, we've been able to raise home prices to more than cover the cost of these increases. To further validate this point, our housing, land and development costs, as a percentage of homebuilding revenues, was 71.4% in the fourth quarter of 2012 and declined to 71.3% in the first quarter of fiscal 2013. During the first quarter of 2013, there were $15.2 million of impairment reversals related to deliveries compared to $16.9 million in the first quarter of 2012. Another area of discussion for the quarter is related to our current deferred tax asset valuation allowance. At the end of the fourth quarter, the valuation allowance, in the aggregate, was $943.9 million. Our valuation allowance is a very significant asset, not currently reflected on our balance sheet and we've taken many steps to protect it. We expect to be able to reverse this allowance after we generate consecutive years of solid profitability and continue to project solid profitability going forward. When a reversal does occur, we expect the remaining allowance to be added back to our shareholders' equity, further strengthening our balance sheet. Today, we could issue approximately 100 million additional shares of common Hovnanian's stock for cash without limiting our ability to utilize our NOLs. We ended the first quarter with total shareholders deficit of $481 million. If you add back the total valuation allowance, as we've done on Slide 19, then our shareholders' equity would be $463 million. Let me reiterate that the tax asset valuation allowance is for GAAP purposes only. For tax purposes, our tax assets maybe carried forward for 20 years from occurrence and we expect to utilize those tax loss carryforwards as we generate profits in the future. For the first $2.1 billion of pretax profits we generate, we will not have to pay federal income taxes. Now let me update you briefly on our mortgage operations. Turning to Slide 20, you can see that the credit quality of our mortgage customers continues to be strong with average FICO scores of 742. For the first quarter of fiscal 2013, our mortgage company captured 74% of our non-cash home-buying customers. Turning to Slide 21, we show a breakout of all the various loan types originated by our mortgage operations for the first quarter of fiscal 2013 compared to all of fiscal 2012. 23.2% of originations were for FHA loans during our fiscal 2013 first quarter compared to 27.8% we saw during all of fiscal '12 and the 34.1% we saw during fiscal 2011. So our use of FHA is clearly falling. At the same time, we saw our conforming conventional originations increase to 58.8 -- 58.5% during the first quarter of 2013 compared to the 53.7% for all of fiscal 2012 and 47.1% during fiscal 2011. Regarding the make whole and repurchase requests we've received from various banks, we continue to believe that the majority of these requests that we receive are unjustified. On Slide 22, you'll see our payments for repurchase to the make whole requests fiscal 2008 through the first quarter of fiscal 2013. During the first quarter of 2013, our repayments were $650,000 on 17 loans; 13 of these 17 loans during the first quarter of 2013 were for second-lien repurchases, which have dramatically lower dollar amounts. During the first quarter of 2013, we received 13 repurchase inquiries, which was lower than the 17 average repurchase inquires per quarter in fiscal 2012. We believe that any losses resulting from repurchase and make whole requests have been adequately reserved for in previous periods. At the end of the first quarter, our reserve for loan repurchases and make whole requests were $9.1 million, which we believe is adequate for our exposure. To date, mortgage repurchases have not been a significant problem but we will continue to monitor this issue closely. Now turning to our debt maturity ladder, which can be found on Slide 23, we have only $122 million of debt maturing before 2016 and we remain confident that we can deal with the unsecured notes maturing between 2014 and 2017 either through refinancing them prior to maturity or paying them off as they come due. Since the end of fiscal 2008, we've reduced our debt by more than $975 million. As you can see on Slide 24, after spending $111.7 million on land and land development, we ended the first quarter of fiscal 2013 with approximately $262 million in homebuilding cash, including cash used to collateralize letters of credit. We feel good about our current liquidity position. Our cash position at the end of the quarter exceeded our target range of $170 million to $245 million. We're able to evaluate and actively pursue all attractive land deals that are taking place in our markets. To date, we've not had to pass up on a single land deal because of lack of capital. If we find sufficient new land parcels that meet our underwriting criteria, we are comfortable managing our cash to the lower end of our $170 million to $245 million range. We continue to look for land deals in all of our markets and we continue to put dollars to work in land deals that meet our IRR hurdle rate. Over the past couple of years, we've been explaining to investors that we believed we would be able to increase our inventory turnover rate, which will allow us to grow the company even if we did not increase our capital position. On Slide #25, you can clearly see the progress we've made on this front during the past year. The first the bar shows our inventory turnover rates in fiscal 2002 before the boom and the bust. The next 2 bars indicate our turnover rates in fiscal '11 and '12. We increased our inventory turnover rate from 1.1x during fiscal 2011 to 1.4x during fiscal 2012. Looking to the right side of the slide, you'll see that on a trailing 12-month basis, ended January 2013, our turnover rate increased further to 1.6x. We believe our historical turnover rates will be achievable again in the future. Additionally over the past few years, we've demonstrated our ability to utilize joint ventures and land banking arrangements to grow as well. We remain confident in our ability to grow the company. Now, I'll turn it back to Ara for some brief closing comments.
Ara K. Hovnanian: Thanks, Larry. We're thrilled that our traffic and sales remain strong. As is often the case in margins and volume, our first quarter is always a seasonally weak quarter for us. However, we feel that we're well set up to deliver the growth throughout the remainder of 2013. With the expected growth in revenues in the coming quarter, we should be able to leverage our fixed costs, which should lead to improvements in gross margin, as well as SG&A and interest as a percentage of revenues. We are excited to project full year profitability for fiscal '13. It's been a long time coming but the steps we've taken throughout the downturn have positioned us well for the long-awaited recovery in the housing market. This concludes our formal remarks and we'll be prepared to open it up for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Michael Rehaut representing JPMorgan.
William Wong: It's actually Will Wong on for Mike. I had a quick question on pricing. You said that pricing has been increasing in about 65% of your communities. On average, what's sort of the percentage increase in those communities that you guys have been able to raise price, obviously a big range, but if you guys can just give us an average for the company, that would be great.
Ara K. Hovnanian: I don't think we've tracked it -- on one of the slides we showed you the wide range in those communities. It's just not a number we track. If I did, I guess -- if we did, I guess, I could easily given the breakout of our 18% increase per quarter of what was mix and what was price increase, but it's just not a number we track.
J. Larry Sorsby: I mean, in some communities, it's $500 or $1000; in other communities, it's been tens of thousands of dollars, as evidenced by Slide 18. So -- or not 18, 17, I guess, is the slide. So they are a wide range and we just don't have an average to provide you.
William Wong: Okay, that's fair. And then in terms of gross margin and backlog, you mentioned that, that gives you confidence in terms of achieving growth on a year-over-year basis. In 2013, would you be able to share with us sort of what those margins look like at this time?
J. Larry Sorsby: They look better than they did in 2012 and that gives us confidence to project an increase but, no, we're not going to provide you with the specifics of what's in backlog.
William Wong: Okay. And then just last question, if I could. In terms of credit, I know you noticed -- you noted that the FHA and government loans are kind of decreasing as a percentage of your overall portfolio. Can you speak to sort of mortgage credit, do think that's just on the margin, maybe loosening just a little bit?
J. Larry Sorsby: I don't think we've seen any indication of it loosening, in terms of underwriting criteria. I think it's relatively stable on that front. It's still frustrating, the amount of documentation that our consumers have to put together. It seems like every file's 4 to 6 inches thick when we're done with and -- but I don't think the underwriting guidelines of FHA, VA or Conventional have changed to loosen anything in the last quarter or 2.
Ara K. Hovnanian: By the way, on the whole, we're still -- definitely stricter guidelines than we were pre-subprime problems, which is unfortunate because there are people that, for decades, have been able to qualify reasonable, sound credit, just not as pristine as those that easily qualify. They're being denied today. Eventually, the pendulum, which has swung to the overcorrection mode, in terms of difficult qualification because of what happened with subprime, that pendulum will come back to the middle and that should add a further boost to the housing recovery a little later in the cycle.
Operator: Your next question comes from the line of David Goldberg, representing UBS.
David Goldberg - UBS Investment Bank, Research Division: I wanted to delve actually, Ara, into your comment that you just made in response to credit underwriting and the people that aren't able to get credit today who, maybe before this sub-prime boom that happened, could get credit. And what I want to get a little more granularity is, is the issue is the credit score issue, or is it a blemish in the credit history? Because it seems like a 640 or 650 FICO, which is about what you're doing on FHAs, generally speaking, is still -- with a good credit background, is able to get a mortgage. So I was wondering if you could give us some more clarity about the comments and who's not able to qualify today that you think will be able to qualify at some point in the future?
J. Larry Sorsby: Let me give you a couple of examples of what's happened. And I believe the reason for this is related to the repurchase and make whole request that the industry is faced with, not just builder-owned mortgage companies but all mortgage companies are faced with that risk and therefore, they're being very conservative. What we're seeing on the repurchase and make whole request are second-guessing underwriting decisions that the industry made 3 to 5 years ago, and back then we might have made a loan to where somebody was putting 30% or 40% down on a loan down payment instead of a 5% and 10% down payment and we said that offset the risk of he missed making his mortgage payment on time for 30 or 60 days a couple of times and we said, well because he's put in a larger down payment that offsets that risk and it's a good loan and I still, today, believe it's a good loan. Today, we wouldn't make that loan. And the reason we wouldn't make that loan is those loans that we made exactly like that 3 or 5 years ago, if the guy loses his job, 3 years after making his mortgage payment consistently on time for the previous 36 months and then he loses his job, totally unrelated to that mortgage decision to where we said because he put a 40% down payment, we're going to ignore a -- or it was a compensating factor for that slight credit blemish, the loan comes back to us and we say -- they say repurchase it, it's just bad underwriting. So we're not motivated to make rational credit decisions that are slightly out-of-the-box of the guidelines with strong compensating factors, such as substantially increased down payments. That is what, in my opinion, has led to our inability to qualify people today that, for the last 30 years, we would have approved because of compensating factors. We've thrown out the rational underwriting of a human being. Right now it's either in-the-box of the criteria or it's not. No matter what the compensating factors are.
David Goldberg - UBS Investment Bank, Research Division: I was just wondering if we could talk a little bit about kind of on a go-forward basis -- and I'm not asking for guidance or anything like that, but I'm just trying to think about land costs and I totally understand that you guys are finding deals that pencil at the margins, but I'm trying to understand land costs as a percent of home price given that, in a lot of markets, land costs are going up very quickly. So as you look forward in the next 3 months, 6 months, 9 months, whatever, 12 months, whatever, do you see land costs staying pretty consistent as a percentage of the home price? Do you see them going up? Do you see them going down? And how is that going to influence -- and obviously price has something to do with it, but just where you're looking for -- at land costs, are they going up faster than home prices in a lot of cases? And how do you see that relative to the gross margin expansion potential?
Ara K. Hovnanian: Well first of all, it's an interesting phenomenon since the developed lot cost vary as a percentage of new home sales price, varies dramatically from market-to-market and particularly, the price point. So it may vary from a low of 15% to 17% of sales price, let's say, in an area of North Carolina to 52% of sales price in Orange County in a prime location. In general, I'd say -- I haven't focused on the numbers, but I would not be surprised as home pricing moves up to see that the land component, as a percentage of sales price in all geographies creeps up just a little bit as well. But as it does that, we still typically have the abilities to get gross margin expansion. I mean, we're really driven by IRR even more than gross margin and we're very, very flexible in how we'll pursue a transaction. We are happy if it's a rolling lot transaction with the developer finishing lots and we're taking it down on an as-needed basis. We'll take a lower gross margin because we know the inventory turnovers will compensate for that. So that's one way to achieve the IRR. It's our favorite way, if we can do it, but not all markets have the availability of developers to feed you lots that way. In other cases, where we have to buy the land in bulk and perhaps, take on the land development task, both the timing and the risk, we typically need higher gross margins because the inventory turn is slower and therefore, to get to the same IRR, we'll need the higher margins. So the short answer is, it varies dramatically from market-to-market and price point-to-price point, but I would say that we'll be trending up a little bit in terms of developed land cost as a percentage of home price.
Operator: Your next question comes from the line of Adam Rudiger representing Wells Fargo Securities.
Joey Matthews - Wells Fargo Securities, LLC, Research Division: This is Joey Matthews on for Adam. I have a question somewhat related to on your IRR discussion. With your backlog up 41%, do you think you'll focus more on margins going forward or volume to cover your fixed costs?
Ara K. Hovnanian: Neither, exactly. We're focused on IRR. And it's a little bit of both. It's a little bit of volume play and margin play and the trade-offs. So IRR is absolutely our driving force.
Joey Matthews - Wells Fargo Securities, LLC, Research Division: And I have a question on your SG&A this quarter. It looks like home sales revenue declined about $135 million sequentially, of course that's seasonal, but your SG&A was relatively flat. I was wondering if there was anything special in there and then going forward, what you see for SG&A operating leverage for the rest of the year -- quarters this year?
J. Larry Sorsby: Kind of in normal times, SG&A as a percent of revenue is around 10%. For all of 2012, we were at 12.8% and although, on a year-over-year basis, we saw that SG&A percent fall in the first quarter of '13 compared to '12 because it was our seasonably low period, we didn't get quite the operating leverage that we expected to for the full year. For the full year, I'm very confident that as a percent of revenues, you're going to see our SG&A as a percent of revenues decline from what you've seen in 2012 and will gradually migrate towards a 10% number over time.
Ara K. Hovnanian: In terms of dollars spend, I think we show on the slide, it's about $49 -- $49 million in the first quarter. I mean, it will hold relatively stable, creeping up just a bit, nowhere near the expansion of revenues that we project and SG&A by its nature is somewhat fixed and that works to our benefit in later quarters as our revenues expand quite a bit.
Joey Matthews - Wells Fargo Securities, LLC, Research Division: Sure. And if I could squeak in a macro question. What do you think the capacity of the industry is right now? And what do you think you can handle this year? What kind of max growth do you see this year?
Ara K. Hovnanian: Well we certainly are comfortable achieving the kinds of growth that we're contracting for. First quarter was a big growth quarter, 42%. I'd say the industry is preparing for that kind of growth. I don't think it's a simple one. And we're all challenged by it. Frankly, I think if there's much more growth than that, I think most builders will resort to raising prices a bit till the infrastructure, in terms of the building ability, can catch up. And that's not a terrible thing either. But there have been some out there that have been projecting some fairly substantial growth. I was listening to Mark Zandi at Moody's recently, that actually projected 2014 starts of about 1.7 million, which is about double this last year. The industry would probably have a pretty tough time getting to that kind of growth and my guess would -- and by the way, he's not alone and I hear and understand and believe that the demand side could be pulling us toward that number. The supply side will have a challenge and I think the result will be a little bit less than that, but more price appreciation than anyone is counting on right now.
Operator: Your next question comes from the line of Joel Locker representing FBN Securities.
Joel Locker - FBN Securities, Inc., Research Division: Just on your backlog conversion going forward. I guess, you dropped out around 56% on a consolidated basis versus 64% a year ago. So a little over 12% drop or somewhere around there and just wondering if you look at the second or third quarter, would you see a similar year-over-year drop on the conversion rates with...
J. Larry Sorsby: Joel, that's just not a number that we track. I mean, we have community-by-community budgets for sales and for deliveries and contract backlog conversion just isn't on our radar screen. We were very pleased with our sales pace and we're very pleased with the deliveries that we had. It was both above our expectations from a budgeting perspective. But we just don't really follow -- I mean, you don't have a better metric to follow, I understand that, sitting in your chair than backlog conversion, but I can't really give you any color on it because it's not something we pay attention to.
Ara K. Hovnanian: What we focus on is the cancellation rate. That's probably the closest metric to key what you're trying to achieve, and I'd say cancellation rates are at historically very normal levels. If anything, they've been trending down. They're typically plus or minus 20%. Jeff, I don't know if you have the number handy for the last quarter? I think it was slightly down from that, but it's pretty much in the normal...
Jeffrey T. O'Keefe: 17% in the most recent quarter.
Ara K. Hovnanian: 17% in the recent quarter. I think it was down from where it was 1 year ago, which is a positive thing in spite of the calc you did and some do on backlog conversion. It's just not the way we look at it.
Joel Locker - FBN Securities, Inc., Research Division: Right. And then what about on your gross margins? Obviously, you're going to get some leverage on your indirect overhead and commissions, even, are coming down a little bit, financing concessions, but if you just single out that housing, land and development cost number of the 71.3%, where do you see that in the second, third, and fourth quarter based on the increased material prices offset by obviously increase in home prices.
Ara K. Hovnanian: As you know, we're not giving very specific guidance. I don't think most builders try to do that in this environment, but suffice it to say, we continue to expect home prices to outpace construction costs and therefore, all parts of the -- we expect gross margin on the whole to improve and I think that component should as well.
Operator: Your next question comes from the line of Dan Oppenheimer representing Credit Suisse.
Michael Dahl - Crédit Suisse AG, Research Division: This is Mike Dahl on for Dan. I was hoping you guys could provide a little bit of regional color. Total order growth seemed to actually pick up a little bit relative to last quarter, but if we look at regional, it seems like acceleration in the Southwest and Mid-Atlantic versus maybe some slowing in the Southeast and Midwest. Could you talk about kind of what you're seeing there, whether it's market-related, community count or intentionally kind of managing pace.
Ara K. Hovnanian: Yes, we're -- it really is related to where we were able to get communities online faster generally. I'd say, most of the markets are showing pretty robust health. I'd say the only one that maybe is lagging just a bit might be the New Jersey -- the Central New Jersey market has been a little late to the ball, but that's okay. Different markets have different timing. It will get there. We're probably seeing less expansion in the Central Jersey part. Interestingly, the northern part closest to New York City has been extremely healthy and solid and we've been passing on some very good price increases in that part of the market. But on the whole, very good. Houston has been great, Phoenix continues to be great. Northern California is just particularly strong. Florida, in particular Tampa -- excuse me, Orlando and the Southeast coast even more than Tampa have been very, very strong but the market feels good. Recently Virginia's come back on. There was a little bit of hesitation in the Virginia market and the Maryland market, I'd say earlier on, with the fiscal cliff discussions but, frankly, it's gone back and forth and back and forth. I think the market just seems to have shrugged it off and said, they're going to solve it eventually and gone back to home buying in that market as well.
Michael Dahl - Crédit Suisse AG, Research Division: Great. And then as a follow-up, given the strength that you just talked about in Northern Cal, coupled with the pricing trends you show in the slides, from a capital allocation perspective, how do you think about balancing, bringing those mothballed -- the development spend needed to bring those mothballed communities online versus buying new land in those markets or in other markets today.
Ara K. Hovnanian: We have actually been under-invested. So thus far, our capital constraint has not dictated new acquisitions or unmothballing versus mothballing. We'd rather have a lower cash balance and then had invested more. So really the focus on unmothballing some communities has just more to do with trying to maximize our timing and looking at getting good returns on our new cash. Overall, as I think we mentioned, I'm pretty optimistic about getting a better pace of unmothballing communities. Those -- we've got -- we were talking about our inventory turns. They've been growing despite the fact that we got a significant number of dollars invested in mothballed communities. That will be a little icing on the cake as we start to unmothball those because we already own the land and it's on our books, so there'll be some land development but we've -- we were able to phase the land development and still get a reasonably good turn on those communities. So we feel pretty good about them. The biggest section, as we mentioned, is in California. The next biggest is in the Northeast, in New Jersey and I think we'll start to see some more positive pricing dynamics there as well.
Operator: And your next question comes from the line of Alan Ratner representing Zelman & Associates.
Alan Ratner - Zelman & Associates, LLC: Ara, just adding on to that mothballed topic there, if we kind of look at the gross margins you're delivering on, at least the direct gross margins in that 23% or 24% earnings, what would be -- what would have to be an appropriate level for you to make that decision to bring a project back online? Would we -- should we expect some degradation as those communities come back? Or are you targeting kind of the company average that you're delivering right now?
Ara K. Hovnanian: To be honest, again, haven't focused on it. We are really, really driven by IRR more than gross margin. But having said that, I don't think -- while the unmothballed phenomenon that will be coming up will be helpful, I don't think the percentage of unmothballed deliveries will be significant enough to be a needle mover. So I wouldn't expect any positive or negative surprises from the unmothballing of communities.
J. Larry Sorsby: I think that's the main point to focus on, Alan. As it comes in, it wouldn't surprise me if an individual community we unmothballed had less than our normal margin but still had very good returns on the new dollars that we invested. But as Ara said, it just won't be enough deliveries in the period that you should model it.
Alan Ratner - Zelman & Associates, LLC: And then your comments on Virginia and Maryland, I think you were talking specifically about the fiscal cliff, but have you seen any more recent impact from the sequester that went in place earlier last week? And I guess, just adding on that, are there any other markets, maybe ones that are specifically tied to the military or other kind of public sectors there, that you're a little bit concerned about if this thing drags on longer?
Ara K. Hovnanian: It's an interesting question. Frankly, I would've expected more impact with the recent heated up battles, but I can't imagine a market that is more impacted than our Northern Virginia and close-in Maryland suburbs to the fiscal cliff discussions but, boy, the market just seems to have shrugged it off.
J. Larry Sorsby: We can't note anything related to the sequester in any market. Now it's early, but there's certainly nothing that would lead us to believe that it's caused any degradation in sales pace.
Operator: Your next question comes from the line of Megan McGrath representing MKM Partners.
Megan McGrath - MKM Partners LLC, Research Division: I wanted to ask you regional questions, but from the side of the input costs. I'm curious -- you gave us that great detail on how you were able to offset price increases on a year-over-year basis nationally. I'm curious if the input cost increase you're seeing are commensurate on a regional basis with the prices. In other words, California, are you seeing input costs up about 10%? As you raise prices, are they behind you? And are you seeing them raise, let's say, in New Jersey, where you're not able to raise costs? So are you seeing wide margins differential, by region, I guess?
Ara K. Hovnanian: No, we haven't seen -- basically there isn't a market. None of them have had a problem having home price increases more than construction costs increase. I think that's the root of your question. Some, maybe have accelerated more than others. To give you an example, in Northern California and some of the close-in areas is just particularly hot in terms of price increase ability there. But we're not having any markets -- we're not seeing any markets where the cost pressures are more than our ability to raise prices.
Megan McGrath - MKM Partners LLC, Research Division: And I guess, how much faster -- I guess, that's part of the question too. I mean, those -- the price increases you've seen in some of the California markets have been pretty impressive. How much -- I guess, in terms of lag, how much are you finding -- how long does it take for your suppliers to kind of catch up with the price increases that you're putting in?
J. Larry Sorsby: I don't think suppliers say, "Hey, they raised prices. I'm going to raise costs." Okay? I think they're testing the market constantly regardless of what homebuilders are doing with respect to prices, to try to get cost increases in place and builders are testing the market with respect to prices constantly regardless of what the cost increases have been. I mean, it's a free market. It's not like, oh, you got the ability to raise your home price, so I'm going to raise my material price or my labor price. It doesn't work in perfect parallel like that.
Ara K. Hovnanian: I will say, in general, there are many different categories of cost. The branded materials -- appliances, lighting fixtures, kitchen cabinets, a few other items, plumbing fixtures, those we typically negotiate national contracts and they have typically a 2- to 3-year price lock. So on those items, we're not seeing any price increases until that particular national contract comes due and they -- we stagger them, so there's always some coming due but they have a longer hold. There are other materials like lumber or concrete, that are commodity materials and, unfortunately, we typically don't get more than a couple of months' lock on those and we're subject to the ebbs and flows of the pricing and we feel that real time. And then somewhere in between is labor. Typically, we lock in labor for either the life of a particular community -- so the carpenter will give us a price for Galloping Hills and Juniper Plum, whatever the name of it is, for that community unless it is particularly long community, but they have been seen pricing pressures and, in some cases, they've had to pass on some pricing that would be beyond the contract just to be able to keep up with our stepped up production because of the sales. So it's a mixed bag, is the short answer, with a little bit in all of the categories.
Megan McGrath - MKM Partners LLC, Research Division: That's really helpful. And just a quick smiling [ph] question on capitalized interest. It's been coming down a lot, obviously, as a dollar amount and as a percentage of your comps and revenue, what's the best way, at this stage of the cycle, to think about that line item? Is it as a continued percentage of revenues that maybe trending down or is it better to think of it as a dollar amount as we move forward?
J. Larry Sorsby: I think it's probably closer related to -- as revenues continue to grow, it will come down. I mean, obviously, it has to also do with the mix of how many legacy deliveries we're getting versus newly identified. The newly identified properties have far less capitalized interest in it, whereas, some of the legacy communities, have a dramatic amount of capitalized interest, so that can influence us as well. But overall, I think, as we continue to grow revenue, you'll see that number coming down.
Operator: Your next question comes from the line of Nishu Sood the Deutsche Bank.
Nishu Sood - Deutsche Bank AG, Research Division: I wanted to ask a question about homeowners and what options they're selecting. I wanted to -- I was wondering if I could get your thoughts, stretching back some time, in terms of the amount of customization that homeowners are choosing right now, obviously, there's has been a clearly established trend in the market. The move-up segment has been the hot segment of the market. So what level of options are people choosing now compared to, say, the bottom of the market, and at the peak of the market, let's say back in 2005.
Ara K. Hovnanian: Nish, I'd say, the more of the -- first of all, it has bounced back and they are getting a little -- we're seeing a little more dollars on the option side. And we've had a slight tilt to more move-up product because the entry level has just had a little more challenge getting qualified for the -- because of the mortgage discussions we had earlier. But more than being really aggressive on the options, I think, we're just trending to see -- we're seeing trends of the buyers getting the larger homes. So we offer 5 models there, whereas in the past, they might have tended in the middle of the product lineup, we're just seeing more and more instances where they're going to the top of the lineup in terms of size. We generally price to have a pretty even gross margin in each of the different home types, so we're somewhat indifferent to which way they go, although in absolute dollars, obviously, it's a little more beneficial if they go to the large end. But I'd say that is more of the trend than a big increase in the options -- and by the way, some of our divisions do a little bit of custom options, but more of our -- most of our options are predetermined options, as opposed to custom options. We give them alternatives, more of it in finishes, but in some markets, we offer structural options: a sunroom, a morning room, a bumped out family room, et cetera. But again, it's been more in just absolute size of base models than options.
Nishu Sood - Deutsche Bank AG, Research Division: It sounds like the percentage of sales price that is options or upgrades, clearly it sounds like it'd be far below what it was in 2005, when every option was pretty much taken. But how would it compare to say, a normalized market? I don't know when you would pick, 2000 or 2002?
Ara K. Hovnanian: Nish, it's just not something I'm tracking. It's is interesting because we actually shift around quite a bit what is included as a standard in a given location, and on long life communities, it can shift mid-community. If all of a sudden a competitor offers granite countertops and paneled cabinets as a standard, we may no longer offer that as an option and we may include it standard. So what you'd see is our option upgrades look like they came down but, in fact, they're getting the same finish. We're just including it in the base price. So because there is a lot of movement in that area, it's not something we focus on. We just look at the overall bottom line, gross margin, and particularly, the effect on IRR.
Nishu Sood - Deutsche Bank AG, Research Division: Got it. And if I could ask about land options. You folks, I think 9,000 out of your 24,000 lots you've taken under control since 2009, have been optioned. A very strong number, probably higher than peers. It kind of runs against the investor sense out there that the land market, land developers and land sellers are basically in much more difficult straits and they were doing the boom, and so options would therefore be less available. So what has enabled your success on the optioning side and, more specifically, what sort of options are you using here, thinking about developer options versus land bank versus JV options, et cetera?
Ara K. Hovnanian: Well first of all, I think we're using 3 primarily different types of options. The one category is finished lot options that typically come from a developer, sometimes from a bank that's inherited finished lots. That is certainly one of the types of options. The other type, this is very different, it's an option with a landowner where we have to take it through the entitlements. That occurs more often in the Northeast, sometimes in the DC market, sometimes in the Florida market, where it's an option. It could be for 1 year, it could be for 2 years or 3 years even in New Jersey and Pennsylvania, where we have to take it through the entitlement process, and it's an option until the entitlements are achieved or not achieved. And that we have still been able to achieve because the land is unsellable without the entitlements and we add value to the sellers to do that. The third category is land banking, where the property is purchased in bulk and we match up a land banker, as we've done from time to time, and option backlogs. So we've been flexible and utilized all 3 types of options, if we can. Our ideal scenario is that 100% of everything is acquired or controlled through options and we buy it on a just-in-time basis, but that's difficult to achieve in all markets at all times.
Operator: Your next question comes from the line of Alex Barron representing Housing Research Center.
Alex Barrón - Housing Research Center, LLC: I wanted to ask you, given your highlight of the California improvement in prices and given how significant of a mothball position you guys have there, is the thought process that you're going to eventually unmothball this? Or is there a chance that you could actually sell some of this land, because I'm assuming it's worth more than your book value at this point?
Ara K. Hovnanian: It is something we look at regularly. The time period, just keep in mind that we just shared with you, is just over the last 13 weeks, the last 3 months. So a lot of the rapid price increase has been in the somewhat recent period. We're also looking at our portfolio of mothballed lots and in a couple of the cases, in Northern California specifically, we decided that we can maximize our profits by actually redesigning the site plan, in some cases going to lower density than what we had planned to improve our returns and so that will take a little bit of time. During the real heyday, everybody tended to increase the density dramatically, but we're seeing some better returns and slightly lower densities so that could take a little time. All in all, I'd say that the unmothballed component is going to be icing on our plans. We're moving forward and focusing on land acquisitions as if the land that we have in mothball is not becoming unmothballed and that'll add just a little bit of additional juice later in the recovery.
Alex Barrón - Housing Research Center, LLC: Okay. And Larry, I wanted to, I guess, focus a little bit more on your operating leverage potential going forward here. You guys put a presentation in February that showed you could probably maintain the SG&A run rate and it comes out to about $195 million for the year. I guess, if I look at this quarter's number, I guess, you could still get to that number. Is that something that you guys are sort of targeting? And...
J. Larry Sorsby: I mean, we kind of said that in the script, is that we expect to hold SG&A relatively stable in terms of dollar amounts. So I think that's a fair assumption. I mean, it may change a tiny bit, but we think we can continue to run the company without a material increase in SG&A.
Alex Barrón - Housing Research Center, LLC: Yes. Because I -- I mean, I was a little confused because the revenues dropped significantly, obviously, due to seasonality sequentially but the dollars in SG&A didn't. So I'm assuming that going -- once the revenues start picking up in the back half of the year, maybe the same will hold true.
J. Larry Sorsby: I'm not sure what you mean by the same will hold true, but SG&A is primarily fixed. So regardless of what revenues are, we think that dollar expense is going to be relatively fixed.
Alex Barrón - Housing Research Center, LLC: Okay. I thought most -- I thought the SG&A, roughly 1/2 of it or some portion of it was fixed and the other portion was variable, with commissions or what have you, with volume?
J. Larry Sorsby: Commissions are in our gross margin.
Ara K. Hovnanian: Part of it is, I mean, I don't have the exact percentage but, obviously, part of the SG&A is the G&A. It's our office rent, salaries, et cetera and that is relatively fixed. The only selling part that's really more variable is advertising dollars or the biggest component is more advertising dollars.
J. Larry Sorsby: Which does change from quarter-to-quarter, but it does not move the needle that much.
Operator: Your next question comes from the line of Michael Kim representing CRT Capital Group.
Michael S. Kim - CRT Capital Group LLC, Research Division: Yes, I appreciate the slide on Northern California. I was just wondering if you could maybe describe the geographic breakdown of your 4,800 mothballed lots in the west region. How much is tied to Northern California versus Southern California? And what percent of your mothballed assets in Northern California are represented by the submarkets on Slide 17?
J. Larry Sorsby: We're just not going to get into breaking out segment data more granularly. It's just a bad precedent to get into, but suffice it to say that there is a fair amount of that 4,800 that is in fact, in Northern California, at little more inland than the area where you see the 8 communities that we had the significant price increases on.
Michael S. Kim - CRT Capital Group LLC, Research Division: Okay, understood. And my second question, how should we think about the remaining development spend associated with your mothballed assets and, I guess, also more broadly speaking, the split between development spend versus new land acquisitions over the next couple of years?
J. Larry Sorsby: Development spend versus new acquisitions. Let me start with the mothballed lots. I think it's safe to say that a lot of the remaining mothballed lots need substantial amount of land development in order for us to build homes on it, so there would be additional dollars we'd have to invest in streets and underground utilities, et cetera, to get it ready. With respect to your second question, which I think is development spend versus land spend, maybe in the future. I mean, if we can find finished lots, that's our first preference. Those are harder and harder to come by. So even over the past several years, we've been buying raw land and doing the development ourselves. The only thing that kind of changes, obviously, we underwrite to an IRR so the additional time that's necessary to actually do the development work, call it, 4 to 6 months, causes us to pay less for the land than if the land was already developed. But we're comfortable and have the expertise in virtually all of our markets to perform the land development work and it just delays our ability to open a community by the length of time it takes to do the development work, call it, 4 to 6 months.
Michael S. Kim - CRT Capital Group LLC, Research Division: Got you. And there's no magnitude of number that you'd be able to provide on the development spend for the mothballed assets?
J. Larry Sorsby: I mean -- no, we're not in a position to do that. I would just say, the vast majority of the lots in mothballed still takes some amount of development dollars in order to get it prepared to build houses on.
Operator: You have a follow-up question from the line of Alex Barrón representing Housing Research Center.
Alex Barrón - Housing Research Center, LLC: Larry, I wanted to ask you about the portion of the gross margin you pointed out, the indirect cost as being the reason for the sequential drop. Why do you think that doesn't show up as much in previous years as this year?
J. Larry Sorsby: It does. If you go back and look at gross margin trends, the first quarter has often been lower than the other quarters for exactly that reason. And certainly the indirect overheads would have the same or similar impact.
Operator: At this time, I would like to turn the call over to Mr. Hovnanian for closing remarks.
Ara K. Hovnanian: Great. Well, thank you very much. As we've mentioned, we are very pleased with the momentum of the market and we look forward to giving continued positive progress throughout the remainder of the year. Thank you.
Operator: This concludes our conference call for today. Thank you all for participating and have a nice day. All parties may now disconnect.